Operator: Good afternoon, ladies and gentlemen, and welcome to the Quarter Two 2019 PerkinElmer Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time.  I would now like to turn the conference over to your host, Mr. Bryan Kipp. Please go ahead.
Bryan Kipp: Thanks, Don. Good afternoon, and welcome to the PerkinElmer's second quarter 2019 earnings conference call. With me on the call are; Rob Friel, Chairman and Chief Executive Officer; Prahlad Singh, President and Chief Operating Officer; and Jamey Mock, Senior Vice President and Chief Financial Officer.
Rob Friel: Thanks, Bryan, and good evening everyone. I'm pleased to report PerkinElmer had an excellent second quarter, as we continue to make significant progress against our key long-term priorities, while also generating strong financial results. More specifically, our focus growth areas continue to do extremely well, as we disproportionately invest to build additional capabilities and further differentiate ourselves. Financially, we achieved mid single-digit top line growth and double-digit EPS growth despite very strong year-over-year comps. Finally, and potentially most important, we completed the implementation of a more effective operating structure to facilitate alignment with our customers' requirements and accelerate innovation. Looking first at our second quarter results, while Jamey will discuss them in more detail. Our revenue was $723 million, representing organic growth of 5%. Adjusted operating margins expanded 50 basis points and adjusted EPS of $1 representing growth of 10% over the second quarter last year. These results are particularly encouraging given the very strong second quarter last year where we grew revenue 10% organically, increased adjusted EPS over 30% and expanded adjusted operating margins 180 basis points.
Prahlad Singh: Thanks, Rob. I echo Rob's enthusiasm and I am excited to convey that we are well on our way to executing the three priorities we've discussed in our recent earnings calls providing an exceptional customer experience, being recognized as an innovation leader and making people and culture a competitive advantage.
Jamey Mock: Thanks, Prahlad, and good evening, everyone. I want to start with the highlights for the second quarter of 2019. Next, I'll provide some additional color on our served end markets and detail on other financial metrics. Lastly, I'll finish by providing a brief update on how we are thinking about the second half of 2019. Starting off, we're pleased with our second quarter and first half performance. Market conditions have been roughly in line with our expectations entering the year. We've achieved organic growth and EPS targets through the first two quarters, and we remain focused on executing our full year targets. Our growth accelerators have performed well through the first six months of the year. Year-on-year performance continues to beat our initial deal model. Vanadis remains on track and strong results from a multisite study analyzing 1,200 pregnancies is set to be published in a leading medical journal in August. Finally, as Rob mentioned, both cannabis and genomics testing revenues year-to-date have already outpaced all of 2018. Turning to the second quarter results. We continue to be pleased with the strength in our business as organic revenue growth grew 5%. Reported revenue grew 3% to $723 million and included a 3% foreign exchange headwind and a 1% net acquisition tailwind. By business diagnostics representing 40% of total sales grew 9% organically driven by our reproductive health and immunodiagnostics business lines. Discovery & Analytical Solutions representing 60% of total sales grew 2% organically highlighted by strength in life sciences and offset by weakness in applied markets. I will provide some additional color on both businesses in a moment. On a geographic basis, organic growth trends during the second quarter remain mixed, similar to what we experienced in the first quarter. The Americas continues to lead the way with high single-digit organic revenue growth, Asia Pacific grew mid-single digits and Europe grew low mid-single digits. Operationally, we were pleased with our performance in the second quarter, and we continue to see excellent potential to improve our profitability going forward. Adjusted operating margins expanded 50 basis points in the second quarter to 20.2% driven by continued cast out actions and solid operating expense lovers. Year-to-date, we have expanded adjusted operating margin by 90 basis points year-over-year. As Rob mentioned, adjusted earnings per share of $1 was an increase of 10% versus the second quarter of 2018 and was in line with our guidance.
Operator:  Your first question comes from Patrick Donnelly. Your line is open.
Patrick Donnelly: Great. Thanks guys. Maybe just on to start on the China side, can you just talk -- give some more color on the shortfall there, the magnitude of the impact? Which business segment it hit specifically? And then just also what's baked into the back half or your expectations there?
Rob Friel: So Patrick I'll start then maybe Jamey will chime in. So, we continue to be very bullish on China overall. We saw good growth particularly on the diagnostic side and I would say that was fairly broad-based or there was the immunodiagnostics or the reproductive health and we continued to feel good about that. And I would say that was despite some challenging birthrates that we saw in China. Life sciences continues to do well there in addition. As a challenge we are running into as Jamey alluded to was really on the applied area, particularly on the industrial end markets. And as Jamey mentioned, we think some of that is macro slowdown overall in China, some of that maybe a little bit we're starting to see some anecdotal evidence that there’s starting to be a little bit of biased against U.S. companies, particular in some of the tenders. But that’s fundamentally where we saw the challenge in China. And so I think to some extent maybe this is out of caution, we’re concerned about the back half and that's ultimately what's causing us to widen the range in DAS from mid single to three to five, it's really the applied largely in China, but I would say even outside the China. The China -- the applied markets are challenging.
Jamey Mock: I would agree yeah. With regards to your question on the back half Patrick, we're not expecting much uplift. It's probably maybe a little bit in DAS, but overall we're planning for much of the same in the second half in our guidance of there.
Patrick Donnelly: Okay. That's helpful. And then just on the DAS business in general. Rob, I appreciate the color about the applied, what can you guys do to reaccelerate growth there? I know you've talked a decent amount about some new products there catalyzing some growth. But I guess with the headwinds in applied, how should we think about growth going forward? Last year you had a really strong year there, particularly in the mid part of the year. So I guess on the go forward, what can you guys do to reaccelerate back to some of the…?
Rob Friel: Yeah. I think a piece of it is what you referred to as we continue to get new products out into the marketplace. And we've got some coming out, sort of, late 2019 and early 2020 that we think will be helpful there. I think the other thing and obviously this has been the theme for the last couple of years is just continue to shift away from the industrial markets, because they have a tendency to be a little bit more cyclical and so continuing to invest in life sciences, continuing to expand our informatics and service offerings. I think those are all and, of course, food as well, I think those are all helpful because we think longer term growth rates there are not only higher, but we think are more resilient and less cyclical. So I think it's for me is going to be a combination of continuing shift into those more attractive end markets, but also at least in the short-term driving more new products into the marketplace.
Patrick Donnelly: Thank you very much.
Operator: Your next question comes from Steve Willoughby. Your line is open.
Steve Willoughby: Hi good evening. Thanks for taking my question. Two things for you. One, I guess could you just help us frame up maybe put in perspective, can you talk about China applied being 6% of your revenue? Applied globally being flat that's despite food being up double digits. Can you just remind us, how big you're considering that food bucket to be, so we can, sort of, either you can tell us or we can back into how much you're in applied or industrial business was down in the quarter? And I have a follow-up.
Rob Friel: Yeah. So is the question specifically on food, Steve?
Steve Willoughby: I mean, I guess it's really like we try to look at how much of the industrial business was down for the applied business to be flat.
Rob Friel: That's a good point I think. So industrial and environmental is down mid-single digits in the quarter. As I actually think that speaks to the portfolio evolution of PerkinElmer, so being up 5% when industrial and environmental is down mid-single digits, again as I think another example of how we transformed the portfolio, but to specifically answer your question, not about…
Steve Willoughby: Yeah. It does.
Rob Friel: I think that's the point you should have reinforced. If you go back a couple of years ago, I think one of the -- I used to hear from the investors, the concern was how tied was PerkinElmer to the industrial macro grow side. And then, of course, the other question was how tight is PerkinElmer to newborn screening and said differently birthrate. And if you look at this quarter as Jamey pointed out this is a good indication of the changes we made in the portfolio. So as Jamey said industrial was down mid single. And if you look at birthrate, they were down in U.S., they were down in Europe and they were down in China. And as you heard earlier, our reproductive business was up high single and diagnostics grew 9%. So those speak a little bit to the migration of the portfolio. And, of course, that's something we have talked about to not only being higher growth but more resilient.
Steve Willoughby: I appreciate that Rob, thank you. Jamey, just one follow-up for you on margins. Operating margins were up 50 basis points year-over-year this quarter, sorry, 70 basis points this year and a quarter. And it looks like gross margins were down just any color there at all?
Jamey Mock: Yeah. So a little bit of this Steve was foreshadowed in the first quarter when we expanded margins 130 basis points. And if you remember we said that we were going to have -- we had a greater mix of EUROIMMUN reagents in the first quarter and that we have a greater mix of instruments in the second quarter. So much of that's entire explanation down from I think 51.3 to 51.0 is just due to the EUROIMMUN instrument mix that is coming through and it was quite strong in the quarter. So EUROIMMUN was up mid-teens and we're thrilled with the performance, but it had a little bit of impact on a quarter-over-quarter. Through the first half, I think we're up about 40 basis points on gross margin and I think that's how we're kind of penciled it in for the year, it's about 40 to 50 in the gross margin line.
Steve Willoughby: Perfect. Thanks so much.
Operator: Your next question comes from Doug Schenkel. Your line is open.
Chris Lin: Hi, good afternoon. This is Chris on for Dough today. Thanks for taking my questions. Just to follow-up on China. I believe you noted that the China weakness is expected to be transitory. So with that in mind, when do you expect China to recover and then longer term, how does this impact your 2020 organic revenue growth target?
Rob Friel: So some of this is transitory to your point Chris, I mean, MOFCOM approvals are difficult for us to control here, some of the shift in labs, some government to third parties also quite transitory. Right now, we're just assuming the second half that we're not going to bank on a giant change there. A little bit of uptick versus what we've seen in the applied markets there in the first half, but it's not a lot -- it's not a significant portion of the DAS increase in the second half versus the first half.
Jamey Mock: Yeah. And I would just say, what you're picking up in a sort of transitory is that we think longer term China is still great place to be at to the second largest economy in the world. We think it's going to grow particularly in the segments that we operate in. So I think what you're hearing is while for the second half, we are not assuming any change, but when we start thinking about this longer-term, we still think China is a good place to be and we are continuing to sort of increase our investments and our presence here.
Chris Lin: Okay. Got it. Then Rob, in your prepared remarks, I think you noted that EUROIMMUN had the strongest topline growth quarters since the acquisition. Can you just provide a bit more detail in that comment, really what enabled this record quarter? And I am particularly curious on how North America operations contributed to that performance? Thank you.
Rob Friel: Yes. EUROIMMUN in the quarter again I think it was up 17% on an organic basis, so very strong. And it was broad-based. I mean, we saw it sort of across the globe, whether it was Europe, China or Americas. Americas was particularly strong and I think it was reinforcing for us to see that some of the things we have talked about in the past and some are the synergistic aspects of the acquisition are starting to come through now. So clearly, we're seeing EUROIMMUN do a good job of penetrating new markets, new geographies. Your MPIs are continuing to kick in. I think Prahlad mentioned the fact that we are cooperating or doing joint venture between our genetic testing business and EverlyWell. EverlyWell that sort of expand out into the food intolerance. And they have some new products. And of course, that was one of the things we liked about EUROIMMUN that they're very innovative, that we introduced the new random access analyzer through to the market this quarter. So there's really a host of things, but particularly in the Americas, which I know was one of your questions it was very strong in Americas in the second quarter.
Chris Lin: Great. Thanks for taking my questions.
Operator: The next question comes from Bill Kirk. Your line is open.
Unidentified Analyst: Great. Thanks. This is Dan on for Bill. So my first question is in terms of the NIPT commercial institution ramp, it sounds like the strategy to differentiate your offering is softer this entire cycle of reproductive products. Can you just how the strategy is attractive to different geographies, different payers and then just maybe just if you're focusing on gaining mine share with OB/GYN community as well as the patient's community and then the importance of that as well?
Prahlad Singh: Yes. So the question around NIPT and Vanadis for us, we continue to see that to be on track for what we have said around 30 installations for the year. The data our customers are generating in fact what we are seeing is better than what we've generated in our own labs for CE marking study. So we feel really good and the RAM process for early adopters is going well. In regards to the overall OB/GYN mind share, most of our focus right now has been in Europe and in the APAC market and we see very good feedback from our customers and KOL's.
Rob Friel: And I would just reinforce, the value proposition for Vanadis is fundamentally, it's easy to use. We think it's low cost and it's very accurate. So while it won't work for everyone that want to get a lot of detail relative to the genetic makeup, I think for the large majority of our customers and again we have a lot of familiarity with screening versus diagnostic testing. We think Vanadis is a very effective product. We're looking for accurate easy-to-use sort of low-cost screening.
Unidentified Analyst: Okay. Thanks guys. That's helpful. And then just one more just shifting over to the cannabis opportunity, it sounds like it's doing very well you said it outpace 2018. That suggests its tracking pretty well out of your target. First, do think there's any adjustments there need to be made? And then I'm just kind of wondering what's driving the uptake? I know previously you mentioned that Emerald test bench and Vanadis status, if you could just spot out some color there. Thanks guys.
Prahlad Singh: I think the time that we are trying to bring customer a full total workflow solution to our customers. As they are setting up their lab, bringing in the front end and the full solution along with the software is really gaining traction with the market place. And then I think as the growth continues to go in that market via -- being an early provider of a fully consumer workflow solution is gaining traction. And in addition to that, if you get the total birth of offering that we bring to the table, it is also very amenable and attractive to the consumer.
Jamey Mock: In terms of the target, you asked Dan, we said it could double this year from 10 to 20. So we're basically on pace with that, so maybe this a little bit of improvement to that which is why we might see DAS second half kind of pick up from here.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Brandon Couillard. Your line is open.
Brandon Couillard: Hey, guys. Good afternoon. On the DAS business, you said you can quantify the impact of the MOFCOM exploit clinics the way using the thorough the piece that out relative to just start a broader macro environment. So again you think on your op structure was a little less disruptive to the business in the second quarter?
Rob Friel: Sure. I'll start and Prahlad can jump in. So on MOFCOM brand we're try not to target all the time here but it is probably $4-ish million to the quarter. So, it might be 1 point for DAS and 0.5 points overall for PerkinElmer, just to answer that question. And TBD online that gets resolved. We're obviously monitoring it. I mentioned I met with MOFCOM when I was over there. They were sympathetic. And trying and we'll see what happens there. In terms of organizational disruption, I don't think that had an impact on the quarter whatsoever. I think most of the commercial and kind of product management moves which is made recently here. And I think before that it was largely around R&D, which I think Prahlad talked about in the last call, in some operations and back-office function. So, I think people are excited about organizational move. And its not an impact.
Prahlad Singh: Yeah. I mean, in fact Brandon, the impact of the changes that we are bringing to the feet of the Street is really very minimal. And the idea actually has emanated from the field. What we're really putting is the tools and processes in place that maximizes the opportunities that we have in front of us.
Brandon Couillard: Okay thanks and then follow-up for Jamey. Just on the working capital items despite the elongated shift cycle, the higher inventory levels at EUROIMMUN. Why is that occurring now? And do you think those are structural and is 90%-plus conversion still relevant number to think about perhaps for 2020?
Jamey Mock: Yeah. I think it's some -- some of these have been happened a lot over time, but a lot of these were revolving. So and we are growing faster. I mean if you look at informatics, we like the subscription model. So historically, and I think you mentioned this also with the ASC 606 discussion, we used to sell personal license we much prefer to have a subscription model, that kind of brings in annuity for years to come. As we continue to push that product and I think it is performing very well. Similar on cannabis, so cannabis is probably surpassing our expectations a little bit here. And I think those customers might require something like 90 days term. So, a lot of this is related to growth Brandon which I think is a good thing. EUROIMMUN inventories at the same way, our NPIs were trying to accelerate in the second half of the year. So we can hit 2020 with a head of steam here. So I think much of this is just related to the fact that we are just growing faster.
Brandon Couillard: Good thank you.
Operator: Your next question comes from Derik DeBruin. Your line is open.
Derik DeBruin: Hi. Good afternoon.
Rob Friel: Good afternoon.
Jamey Mock: Hey, Derik.
Derik DeBruin: Hey, so I’ve got four questions. So here we go. So first one gross margin, so, gross margin for the quarter was below what we had forecasted quite a bit. But yet your SG&A was also quite a bit lower, so that offset. How should we think about this pace into the rest of the year? And I would've thought the gross margin would have been higher just given the lower DAS contribution and a higher EUROIMMUN contribution for the quarter?
Rob Friel: Yeah. I'll try to answer that just a little bit here. But if you remember, we tried to foreshadow and we have been out there externally as well recently. That said, the first quarter was a little high on the gross margin side and on the operating margin side. And the second will be lighter, because we knew the EUROIMMUN instruments will be coming in the second quarter. So that's the drag on gross margin at least from a year-over-year standpoint. And some of our new businesses like genomics testing is performing extremely well. That put in a bit of drag. But in general we're kind of in line with where we thought through the first half here. After the sequencing for the second half, I think it's pretty similar. I think the way we think about 2019 is probably 40 to 50 basis points and the gross margin line and then 120 to 150 on the operating margin line. So there's a decent amount we've been saying we've invested a lot in people, we've invested a lot in our sales force. And therefore we can leverage that now so using some of the base cost of risk and some good cost control come through. And that's how I think about 2019.
Derik DeBruin: Great, hey Rob could you talk a little bit more about the pressure and the anti-U.S. bias in China? That was sort of a striking comment and can you provide some specific examples. And I guess that leads to the question earlier than starting to see our price accomplishments on the Chinese markets from other non-Chinese vendors that should be playing there?
Rob Friel: Yeah. So Derik I would say there has been set of three instances where we've heard of specific tenders that we were told that we won these are sort of government businesses. And then in the process of documentation, we got flipped to a local. And I would say at this point it's a couple of points, so you wouldn't say we're greatly concerned about it, but its -- I would say in the second quarter, it's the first time where we can point to specific examples of where we think there's been a little bit of anti-U.S. bias. What we're doing to deal with it is continuing to move as much manufacture as we think makes sense over to China because what they in essence say is a lot of it is because it is not produced in China, so we're trying to alleviate that concern first. Ultimately, whether it's U.S.-owned, obviously, can be difficult for us to deal with, but that's how we deal with it in the short-term.
Derik De Bruin: Great. And on the -- going back to -- since you mentioned Canada number of times, I'll jump on that wagons too. So, can you talk about how big the market opportunity is for the life sciences space? And just of like I haven't really seen a good estimate for the TAM on that one that's adjustable by the tools market and your idea on what that's market is going?
Rob Friel: Derik, you can put me in the camp, I don't know if we have a great handle on the total market. I mean we try to estimate what it is. I think right now it is probably $100 million, $150 million market something like that. But I think it's growing very quickly. And I think it's growing because you are seeing two opportunities. I would say on the marijuana side, which is probably growing the slowest is you see the opportunities for analytical instruments to help with sort of efficacy quality and safety. On the sort of more Hemp and CBD side, you are seeing a lot of growth in being able to control how much TSC -- THC is in the product so that it doesn't run afoul of the regulations. So, it's really -- and that's probably going faster actually.
Derik De Bruin: Great. And following on Vanadis, I guess, revenue expectations for 2019 if you care to share that. And sort of like how we should think about that accelerating into 2020?
Rob Friel: Yes, Derik, I think as we talked about in the past, we're trying to stay away from 2019 from a revenue perspective and really talk about installations. And I think the reason for that is we want to get the installations out there. And again it's a little bit, because it's early days, hard to predict how much are going to sort of buy the instruments and how many of them are going to do a reagent, and of course, that has a significant impact on the -- side of things. So, we said for 2019, let's really focused on getting it out there, we set a goal of 30 installations. As we said we're sort of halfway through the year. We think we're right on track and so we continue to be very bullish on Vanadis. I think the revenue -- the significant revenue should occur starting in 2020.
Derik De Bruin: And then let me just ask if you look at 30 installations and what we should think about is a relative revenue per box in terms of consumable pull-through?
Rob Friel: Yes, Derik, I think we need a little bit more experience with the sort of volume through the lab before I want to commit to a number there.
Derik De Bruin: Okay, that's great. Thanks.
Operator: Your next question comes from Catherine Schulte. Your line is open.
Catherine Schulte: Great. Thanks for the questions. First on EUROIMMUN, on last quarter's call, you talked about the goal of getting to 50% market share in the U.S. autoimmune screening business. Has that played out as you expected?
Prahlad Singh: Yes. Catherine with the new and -- with the recent buy that Rob mentioned in the recent trend we had, we are going to get to 50% screening in the AMA market.
Catherine Schulte: All right. Great. And then on China Jamey you mentioned your conversations with some officials there on ways that you guys could work together further. Any details on specific steps you're taking to improve that DAS supply business absent any marked -- change in market dynamics? And then for the focus on local manufacturing in China, are there any particular product lines that you're prioritizing for that?
Jamey Mock: First, we talked a lot to the National Health Commission around diagnostics and expanding newborn screening. I know you asked about DAS, but that's primarily where they asked for the most help. So, we've been working with them. We've been investing and training for all the physicians, particularly, as you go west and frankly, through the one belt one road all the way down to Africa. So, we think that opens up geographic expansion in China as well as menu expansion if we can get some of our QSight and mass spec in there because that was just CFDA-approved recently. I'd say from a localization standpoint, we bought SSI which is a localized spectroscopy manufacturing site. So, I'd say we've had five or six facilities now and on EUROIMMUN localizing more SSI on the analytical side is localizing more. We have Taichung, which is doing well. So, we're doing pretty well and let China go as fast as we can here.
Catherine Schulte: Great. And then are you guys still confident in at least 7% organic growth in 2020? And assuming that you'll need to get DAS back to mid-single-digit growth to do that, do you think you can get it there, just through the new product introductions or would you need to see market improvements in area like China applied as well?
Rob Friel: So I would say, we continue to be confident in our ability to get to high single digits in 2020. Obviously, we are not giving guidance, but I would say, given the market conditions we see right now, I think we can still achieve high single-digit.
Catherine Schulte: Great. Thank you.
Operator: Your next question comes from Ross Muken. Your line is open. Please ask your one question and one follow-up.
Luke Sergott: Okay. Thanks. This is Luke on for Ross today. Just real quick on China, so there's a lot of issues with several of your peers going on there particularly in the food market, are you guys seeing opportunities for share gains? Or is it just paying to every U.S. Company right now?
Rob Friel: I think, when you talk about China food at least from our perspective, you sort of need to separate it into two different markets. So what we're seeing is where we're supplying products to the producers of the food and this probably falls more in sort of the grain and dairy area. We continue to see pretty good growth there. Where we are seeing sort of headwind is when you're supplying the labs. And I think that this location there is we're seeing a move from that being fundamentally, historically done by public labs, it's now moving out into more private labs. And I think that’s the disruption that some of the other peers have talked about and we're seeing that as well. It's just because we have the other aspect of it, we have probably a little less of an impact. But of course, we are seeing them on the lab side.
Jamey Mock: And with regard to China food, we're very bullish. So, I mean if you look at that, we think that safety market is going to grow. We think quality will grow. If you look at the rising middle class there, the number of exports they have coming in, I think longer-term, China food is a place that we’re very bullish on it. I think, we're going through some short-term headwinds here.
Luke Sergott: Yes. That makes sense. And I guess, just following up on that and your focus on improving the overall workflows around your different markets and customers, I guess reproductive would be an example of this and showing how that's grown versus you used to be just tied to birth-weights. Can you talk about other businesses where you're focusing on that? And how much going forward can we look out for new contracts like you saw the multi-million one that you guys called out?
Prahlad Singh: Yes. The applied genomics Luke is another example, where now we have a validated flexible workflows all the way from sample to sequence. So, the ability to provide a front end extraction, liquid handling, reagents and kits and library prep is another example that sort of allows us to do that. Similarly, cannabis is another example where we now I -- we can add the front end to it -- sort of the front end that goes along with the whole workflow and the software that provides a solution, so those are a couple of examples. In the life sciences and other area, we are in now with the inclusion of Cisbio in our portfolio, we can add our readers and our reagents and provide a whole portfolio of fluorescence whether it’s around with HTRF, alpha or DELFIA technology that gives the consumer the flexibility to choose and pick as to what they want to. So, these are a few examples where the total workflow solution comes into play.
Luke Sergott: Okay. And I guess, is there a chance to even accelerate EUROIMMUN using this strategy as well?
Prahlad Singh: So EUROIMMUN is already sort of -- as Jamey pointed out, alluded to it, it’s already, we can see the benefits of it not just for me technologies energy perspective which we have talked about around antibodies and antigens earlier, but now the capability of bringing EUROIMMUN, Tulip and Cisbio gives us an opportunity where we have sort of centers of excellence around antibody and antigens and then leveraging that to develop assays across different end market segments.
Luke Sergott: Okay. Great. Thanks.
Operator: Your next question comes from Jack Meehan. Please ask your one question and one follow-up. Your line is open.
Andrew Wald: Hi, this is Andrew Wald on for Jack. So you called out high single-digit growth in the Americas. Could you provide some more commentary on the strength in the region?
Rob Friel: Sure. Yes. It's pretty broad based Andrew. So, diagnostics is up high single digits and DAS is doing pretty well at mid-single digits as well. So, I think, I'll start with the DAS side because that's a little bit different than low single digits we are seeing. I mean, a lot of that is driven by cannabis, a lot of that is driven by life sciences, so we think in particular life sciences in the America is going quite well. We mentioned imaging and detection and informatics and our enterprise business are all performing nicely. So I think that kind of covers DAS. And then in diagnostics, we've got the genomics testing business we highlighted, so that's going well. That’s largely U.S. based. EUROIMMUN, we highlighted in terms of the instrument order. So, hopefully that gives you a flavor, but Americas has been performing quite well.
Andrew Wald: Thanks. And could you provide more of an update on Tulip? Maybe, you can touch on some of the new offerings or synergies especially with EUROIMMUN? Thanks.
Prahlad Singh: Yes, to give you one example of that we've talked about earlier is the lateral flow technologies. Tulip itself continues to grow high single digits from an opportunity perspective, but really what we are now working on is the next generation of offerings around lateral flow for infectious diseases, leveraging the antibodies and antigens that are developed at EUROIMMUN and putting that through the Tulip channels, not just in India, but into other emerging markets.
Andrew Wald: Thanks.
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to our speakers.
Rob Friel: Well, thank you everyone for your questions. And just to summarize, we feel great about the first six months. As I mentioned, solid financial results, but probably more importantly, we continue to make terrific progress under the sort of long-term strategic priorities and we look forward to updating you next quarter on our progress in continuing to drive PerkinElmer to higher growth, increased resilience and greater profitability. Thank you and have a great evening.
Operator: Ladies and gentlemen, this concludes today's conference. And thank you for your participation and have a wonderful day. You may all disconnect. Presenters, stay online for post-conference.